Operator: Ladies and gentlemen, thank you for standing by. Welcome to the IRadimed Corporation Fourth Quarter 2016 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, this conference call is being recorded today, February 06, 2017 and contains time-sensitive information that is accurate only as of today. Earlier today IRadimed released financial results for the fourth quarter 2016. A copy of this press release announcing the company's earnings is available under the heading, News, on their website at iradimed.com. A copy of the press release was also furnished to the Securities and Exchange Commission on Form 8-K. A copy of the Form 8-K can be found at sec.gov. This call is being broadcasted live on the Internet on the Company's website at iradimed.com and a replay of the call will be available on the website for the next 90 days. The agenda for today's call will be as follows. Roger Susi, President and Chief Executive Officer of IRadimed will present opening comments; then Brent Johnson, IRadimed's Executive Vice President of Worldwide Sales and Marketing will discuss the customer orders and finally Chris Scott, IRadimed's Chief Financial Officer will summarize the company's financial results before opening the call up to questions. Some of the information to be furnished in today's session will constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are those focused on future performance, results, plans, and events, and include the company's expected results for 2016. IRadimed reminds you that future results may differ materially from these forward-looking statements, due to a number of risk factors. For a description of the relevant risk and uncertainties that may affect the company's business, please see the Risk Factors section of the Company's most recent reports filed with the Securities and Exchange Commission, which may be obtained for free from the SEC website at sec.gov. I would now like to turn the call over to Roger Susi, President and Chief Executive Officer of IRadimed Corporation. Mr. Susi, you may begin?
Roger Susi: Thank you and good morning. Earlier today, we reported fourth quarter revenue of $6 million as compared to $8.8 million for the fourth quarter last year. We also reported GAAP diluted earnings per share of $0.10 compared to $0.19 for the fourth quarter last year and non-GAAP diluted earnings per share of $0.11 as compared to $0.22 for Q4 last year. While revenue is slightly below our preannouncement and both GAAP and non-GAAP earnings are higher than our guidance, we still are disappointed in these results as I've shared with you before. Consider however, as stated previously, interest in our MRI IV Pump systems remained strong. It is a conversion of this interest into customer purchase orders that remains difficult. To address this issue, we conducted a complete review of our sales process and techniques in the second half of 2016. We learnt much through this review and have taken steps to enhance our sales strategy and further develop our sales team so that we can return to appreciable revenue growth with our MRI IV pumps. Brent Johnson will have more to say about this with additional color around the impact of the events that we have benefited from over the past three years. On other fronts, we have had some very positive news regarding our 510 (K) clearance for the IV Pump and the first shipments of our MRI compatible patient vital signs monitors. On December 19, we announced that we had received FDA 510 clearance for our MRidium 3860+ MRI IV pump system including Dose Error Reduction System Software feature. This is a tremendous resource relief and allows us to refocus on our MR patient monitor 510 (K) taking steps to ensure its successful U.S. launch and furthering the development of other new products from our pipeline. The Warning Letter however remains in place. At this point though, we have provided FDA with all of the information and documentation that they have requested, with however continued working through the final steps associated with the re-mailing of the safety alert instruction card originally issued to customers during 2012 related to our IV tubing set, which was also part of the warning letter follow-up inspection conducted in July. We do not have an estimate of what the next -- FDA's next steps might be or when they will close the letter. However, we do not feel that having an open warning letter is impacting business. We also believe that IRadimed will not be negatively impacted FDA's next steps to close the letter. The second piece of positive news was an announcement of the first shipments of our MRI-compatible patient vital signs monitor to international customers late in December. These shipments mark a milestone to customers -- in the company's history. For US 510 (K) clearance, we continue to work with FDA and responded their questions and information request, made just prior to fourth quarter. We anticipate submitting our full response to their additional information letter in the next several weeks and continue planning the launch sales of the MR monitor in the U.S. during third quarter 2017. Our goal is to move away from single product offering and diversify our revenue streams with additional MR compatible products. The international launch of our MR monitor, its planned U.S. launch during Q3 and our existing new product pipeline are all progress toward achieving that goal. With that goal in mind, I think it's worth reviewing the MRI IV pump addressable market once again. We still believe that there is an opportunity for an additional 18,000 pump systems to be sold into the global market. Assuming an average 20% annual increase in unit sales growth, it would take approximately eight to nine years to achieve full penetration of this market and at that point in time, approximately 3,000 IV pump systems would be sold annually. Using our current annual ASP of 30,500 and including expected sales of IV sets and services, revenue from this business could eclipse a 120 million. Before turning the call over to Brian, I would like to review our financial guidance for the first quarter and full year 2017. For the first quarter, we expect our revenue of $5.2 million to $5.3 million. GAAP diluted earnings per share of minus $0.01 to minus $0.02 and non-GAAP diluted earnings per share of $0.00 to $0.01. For the full year, we expect revenue of $23.9 million to $24.3 million with GAAP diluted earnings per share of $0.07 to $0.08 and non-GAAP diluted earnings per share of $0.14 to $0.18. Now, I'll turn the call over to Brent for a deeper discussion of customer orders.
Brent Johnson: Thank you, Roger. As Roger just mentioned, we performed a complete review of our sales strategy during the second half of 2016 and resulting from this review, we implemented a number of enhancements that we feel will result in increased multi-pump orders. We recently held our National Sales Meeting here in Orlando where I was able to take all the lessons learned through that review, organize the information and present a formalized sales strategy to the sales team that is aimed at converting interest in our pump into confirmed purchase orders. As we discussed before, the sales process today is much different than what we experienced over the past three years. During the time, our former competitor was leaving the market. A successful sales process today requires different techniques and skills. During the National Sales Meeting, we discussed this new strategy in detail, provided evidence of what it takes to close on a more complicated sale involving multiple people from multiple departments and on the sales team with the tools and knowledge needed to execute on these techniques. We feel confident in the team's ability to implement the strategy and are ready to make further enhancements if needed. In recent public announcements, we have quantified the amount of revenue that came from backlog, allowing for an analysis of revenue from [churn] [ph]. One issue with this analysis is that a portion of the [churns] [ph] revenue still came from our sales to former competitor customers as these customers converted to our MRI compatible IV pump. I've analyze the composition of our 2016 customer orders and estimate that orders from customers of our former competitor have dramatically decreased throughout the year, a trend that first appeared in 2015 and declining from approximately 17% of orders during Q1 to approximately 1% of orders during Q4. We view this decline as highly positive and as an indication that we are moving beyond the business of addressing those conversion customers and are now penetrating the market of first-time adopters more deeply. First time adopter customers represented the majority of our orders in 2016 followed closely by orders from our current installed base of hospitals, which we see as a healthy mix. This trend coupled with our comprehensive sales strategy bodes well for sustained revenue growth. We're excited about the anticipated Q3 release of the MRI compatible patient monitor in the U.S. market and encouraged by the interest and the orders we are currently seeing in the international market. We estimate that the current worldwide market for MRI compatible patient monitors is approximately $100 million per year based on the current one monitor per MRI scanner ratio. After adjusting for nominal annual market growth and our belief that by employing the same multi-departmental strategy, as with our MRI IV pump and leveraging our unique offering as the only small portable MRI compatible monitor, we can expand the market beyond the one-to-one ratio and grow the overall market to approximately $200 million annually and we expect to take a significant portion of that increased markets. Now Chris will provide summary of our financial results.
Chris Scott: Thank you. Today I'll be discussing our financial results on a GAAP basis as well as on a non-GAAP basis. Our non-GAAP operating results excludes stock-based compensation expense and its related tax effects. Our free cash flow measure is cash flow operations less cash used for purchases of property and equipment. We believe the presentation of these non-GAAP measures along with our GAAP financial statements can be helpful in providing a more thorough analysis of our ongoing financial performance. You can find a reconciliation of these non-GAAP measures to the nearest GAAP measures on the last page of today's press release. As Roger stated, we reported fourth quarter revenue of $6 million compared to $8.8 million for the fourth quarter last year. Revenue from domestic sales was approximately $5.1 million or 85% of total revenue for the current quarter, compared to approximately $7.6 million or 87% of total revenue for the same quarter in 2016. Revenue from international sales was approximately $0.9 million or 15% of total revenue for the current quarter compared to approximately $1.2 million or 13% of total revenue for the 2015 quarter. International revenue for the fourth quarter of 2016 included approximately $100,000 related to the first shipments of our new MRI compatible patient vital signs monitor. Revenue from devices was approximately $4.3 million or 72% of total revenue for the current quarter, compared to approximately $7.2 million or 82% of total revenue for the same period last year. Again approximately $100,000 of device revenue came from sales of our patient monitor revenue. Revenue from IV sets and service was approximately $1.7 million or 28% of total revenue for the current quarter compared to approximately $1.6 million or 18% of total revenue for the same period last year. As of December 31, 2016, backlog was approximately $1.6 million and we expect that backlog throughout 2017 will approximate this amount. We recognize revenue on 128 IV pumps this quarter compared to 271 pumps in the fourth quarter last year. Our average selling price for the 2016 quarter was approximately $32,600, compared to approximately $26,700 for the 2015 quarter. The increase in ASP is a result of a favorable sales mix as our sales team has been successful at selling more accessories and options with each pump sale. Gross margin was 78.2% for the current quarter and 83% for the 2015 quarter. The decrease in gross margin percent was the result of unfavorable inventory adjustments due to lower production output, anticipated expenses with fielding new software package for IV pumps, resulting from the 510 (K) clearance and higher international sales as a percent of total revenue and in the 2015 quarter. Operating expenses for the fourth quarter 2016 were $3.2 million or 53.1% of revenue compared to $3.9 million or 44.9% of revenue in the prior year quarter. On a dollar basis, the increase in operating expenses relates to lower stock compensation expense as certain award were modified during 2016 resulting in mark-to-market treatment, lower R&D expense as certain internally developed software costs were capitalized for GAAP purposes and lower payroll due to lower bonuses and lower medical device excise tax expense. Our effective tax rate for the current quarter was 24.7% compared to 27.5% for the 2015 quarter. The lower effective tax rate was primarily due to lower than anticipated income before the provision for income taxes. On a GAAP basis, net income for the current quarter was $0.10 per diluted share compared to $0.19 per diluted share in 2015 period. On a non-GAAP basis, net income was $0.11 per diluted share for the fourth quarter of 2016 compared to $0.22 for the fourth quarter of 2015. For the full year of 2016, cash provided by operations was $9.4 million compared to $7.6 million for the 2015 period, as we had higher net cash inflows from deferred revenue and certain operating assets and liabilities, partially offset by lower net income. Our free cash flow, a non-GAAP measure was $2 million for the fourth quarter of 2016 compared to $2.5 million for the 2015 quarter. As of December 31, 2016, we had $25.7 million of cash and investments. With that, I'll now turn the call back over to questions. Kevin?
Operator: Thank you. We'll now begin the question-and-answer session. [Operator instructions] Our first question comes from Larry Solow with CJS Securities.
Larry Solow: Hi. Good morning.
Roger Susi: Good morning, Larry.
Larry Solow: Just wondering if you guys or maybe Brent can maybe not go right into specific details but maybe share a little bit of color on some of the change or some of the new initiatives on the sales process side of it, anything would be great.
Brent Johnson: Yes, sure. Let me just recap a little bit here. As Roger discussed, we got a tremendous amount of interest in this device in our MRI compatible IV pump and we continue to see that from customers, but the problem is that just translating that into a purchase order. And as we were saying, the business has changed a lot over the last couple of years and what we did is we really try to analyze where from this process of turning this interest into a purchase order, what do we need to do better and one of the things that we found is that we really needed to do additional work on breaking down the current practices so that the current practice isn't good enough if that makes sense. As we talked about, everybody has got a way of working around a pump they are either using long lines and stringing conventional pump from outside the MRI or they're just not taking patients down to MRI and they're making diagnosis without MRI on patients that are critical patients that can't come off med. So, we really dug into that and that's one of the things we concentrated on with giving the sales mangers tools and support information not only for them, but to arm customers efforts to get -- to help them get dollars from administration on this. So, in other words, make the problem a big enough problem so that it gets -- it can't be overlooked or it can't be re-prioritized. So, that's where a lot of our work came at the meeting is again giving them tools to do that. Additionally, what we really found was that we needed work on making sure that we had identified the right person to really lead this effort within the institution because we've talked a lot about this, the radiology product, right, but we're going to the ICU. We're going to these critical care departments. We're going to the ED department, the emergency department. We're concentrating on of these folks because these folks are really the drivers. These folks own the patient. These are the -- this is where we're going to find that passionate ally that's going to help us get the deal through the institution. So additionally, we really focused on helping the salespeople to identify the right mobilizer or the right customer within the organization to help sell a deal internally in the hospital and to really -- again once again arm that customer with the information that they need to get that done. So, in other words, what we really did is we distilled the program down to a step-by-step approach, down to call scripts with the guys, better focused what we call SBAR justification; situation, background, analysis, recommendation. We really standardized our tools better so that our salespeople can more easily follow them. We've got some outstanding sales people out there and some people that have taken to this approach quicker and have helped to make this strategy, but what we're trying to do is we're trying to institutionalize that now with our other sales people giving a better support materials, better focused materials to help them get the job done. Go ahead.
Larry Solow: And I assume some of these materials include probably I don't know what kind of economic, obviously there is economic benefit, but I don't know if you have -- if you can share data with them on the savings or I don't know how that, but I do assume that at the end of the day, obviously qualitative better care, but better care usually also means savings to the hospital right.
Brent Johnson: And there is, there is -- once again, this is our main thing is a safety play here, right and that's our main approach. It's not a cost saving. The cost savings is certainly a part of our approach and everything from an earlier diagnosis getting paid -- by some places doesn’t send patients down from to the MRI to get diagnosed or to get a scan, may have a more difficult diagnosis with that patient, not get them out of the ICU as quick. More days in the ICU means more losses to the hospital now because they're only getting X amount of dollars for that procedure whether the customer -- whether the patient is in the ICU for 10 days or two days. So, there is many parts of it that does include that and we certainly bring that to bear as well. But we've got a better ICU focused for sure now that we just introduced that's really helping the guys. The other thing I want to point out too is remember, we got a young sales team here too, young, when I say young and experienced, 10 out of our 18 sales managers have less than one year of experience and that ranges from a month of experience to 11 months of experience of course, but we still have a sales team that is fairly young in tenure and we expect to get a lot of sales productivity growth during the year just from these folks getting more and more time under their belt going at iRadimed.
Larry Solow: And do you expect I guess there has been some turnover on the sales force. Do you expect to outside maybe a little more turnover, it's hard to predict that, but to increase that salesforce during '17 or keep it at a constant rate?
Brent Johnson: We're looking at doing some more expansions in the second half of the year when the patient monitor comes online.
Larry Solow: Okay. And just last question -- just maybe anecdotally even, it's clearly much more of a missionary sale, now that you've gotten most of the [med cap] [ph] replacements. I think one of the issues you guys were coming up against also was that when hospitals are interested, oftentimes departments outside the MRI suite didn't have it approved in their budget Obviously, we're only a month into the new year, and I'm not saying, we're going to see orders increase, but have you heard or spoken with customers or anything where they can actually tell you that at least the MRI-compatible pump is now in the budget or any thoughts to that?
Brent Johnson: Yes, and we're tracking that very closely. I've had all of our sales managers break out opportunities that we call multi-pump opportunities and quantify -- we haven’t quantified that with the dollar volume that puts us at least two pumps and above, but we're looking at those sales very, very closely. We've got the fiscal years identified with all those customers and we're watching that closely and, yes, we've had some things come through budget and some things approved and we expect that that will become more and more common place as we move on into the future beginning this quarter and quarters to follow.
Larry Solow: Great. Okay. Thanks a lot.
Brent Johnson: Sure.
Operator: Our next question comes from Chris Lewis with ROTH Capital Partners.
Chris Lewis: Hey guys. Thanks for taking the questions. Can you hear me okay?
Roger Susi: Sure Chris.
Brent Johnson: Good morning, Chris.
Chris Lewis: Good morning. Appreciate the commentary. Very helpful. Brent, maybe you could just quantify the turnover you've seen maybe here over the past quarter or two and your expectations or plans for potentially further salesforce churn in the near term in order to improve the productivity and turn over some of the less productive reps that aren’t taking as productive [indiscernible] to the new sales strategy as some of the other ones?
Brent Johnson: Sure Chris. Remember to, when I talk about the composition of the sales team, we've got expansions built into that. We've got -- we've got a couple of sales management promotions because they're promoted to sales people to Area Director positions. So, the fact that we've got 10 new sales people, a smaller part of that is because of turnover, but we have some turnover and what I would say to that is again as we've kind of talked about, the sales has changed a lot. It really has gone from being a radiology call point to a lot more focused in other areas, obviously radiology is still a call point. We go to radiology every day. But the focus is outside there. The focus is on these critical care departments. The focus is on these other departments and frankly we had some sales people that were more radiology focused sales people and that's where they were comfortable. That's where they enjoyed calling and again they’ve made the decision to move on and in those areas, we've re-hired with sales people that we think are going to be more effective and making them multi-departmental calls. And I would say that everybody that we got on the sales team is on board with this strategy and is out there actively employing it at this point. Again, like we said, we had a meeting here 10 days ago. So, I had everybody 10 days ago and really feel like we've got the team out there to do this, we need a little bit more seasoning with some of them because like I said, we've got a young team but again, I think we've got the right people in place Chris.
Chris Lewis: And from a timing perspective, I guess in the press release you talked about improvements expected in the next quarter and then kind of the full assessment over the next two to three quarters. So maybe you can talk about how we should expect these strategies layering in from a timing perspective and when that really translates into improved growth in the turns business over the course of this year?
Brent Johnson: Yeah, I think as we said, I think we're going to start seeing that, some of the results from that immediately, but as you were alluding to, this is a process -- this is something that it takes time for the team to learn when it's employed. These deals take time with customers. Again, you go in, you get the interest from the customer then you get routed to radiology and typically in a lot of these situations. Radiology looks at and goes why just coming out on my budget and we don't need a MRI-compatible IV pump and then you're back upstairs, working on the mobilizers, the people that you've engaged with that are forward thinking and can see it and it's a process. It really is a multi-month process to get one of these sales to go down and like I said, we're involved in a lot of these deals now and we've got a lot of these in process and obviously they're going to happen this week and throughout the year. So, I can't quantify exactly what you're going to see other than the fact that we've given some guidance as to what we expect to see during the year on MRI IV pumps and I think that should be the guy.
Chris Lewis: And what does the guidance assume in terms of monitor sales in 2017?
Chris Scott: About 10% of our 2017 revenue will come from monitors.
Chris Lewis: Okay. And heavy majority of that will be in the U.S.
Brent Johnson: Well a bulk of -- yes a large portion of that will come from U.S. sales, a little bit in the third quarter and then it grows in the fourth quarter yes.
Chris Scott: Revenue wise the domestic sales are higher amount of dollars per unit and the domestic market is much more mature for patient monitoring as it is for pumps as well. So yes, the numbers are higher in the U.S.
Chris Lewis: Okay. Great. And then maybe you could talk a little bit I know we're still quarter or two away from the launch of the monitor here in the U.S., but as we think about your transition from a single product offering to having multiple products in the sales bag, what's your strategy in terms of adding that product into the sales bag and specifically to ensure that the sales force focus doesn’t stray from the pump business itself?
Brent Johnson: That's a great question Chris and already we've taken steps like that with this year's compensation program with the sales people. The sales people are incented more heavily on the IV pump sales. We don't feel like we're going to have any problem getting our salespeople to embrace the new product to a new market like the MRI compatible patient monitor and we've like I said taken steps appropriately there. We would also have a launch meeting on the MRI compatible patient monitors as soon as we see that we're going to have FDA clearance and we can begin the marketing activities of that product.
Chris Lewis: And you talked about that market being about $100 million today annually and the potential for your product to grow that to almost double that to $200 million per year represents a pretty significant opportunity for you here over the longer-term. So, I guess maybe you can walk us through what supports that potential doubling of the market as your product gains accelerated adoption.
Brent Johnson: Sure. The way we look at it, there is nominal growth in that market right Chris. There is a 5%, 6%, 7% where everyone uses mid-level digit growth for MRIs being installed into the U.S. and that's kind of the level of growth in that business. So, part of that increase going from $100 million to $200 million would be the phenomenal growth that we see in that marketplace. But a significant part would be again the same type of strategy to the business as we do with the IV pumps and showing why it would be advantageous for critical care areas to have their own patient monitor and transport down on that patient monitor being again a transportable MRI patient monitor rather than going down and making the switch down in the MRI area. So, we feel we've got some real value there and will benefit there to the customer and since we're the only ones with a portable product, we think we're going to get the lion's share of that -- for all that market until someone else -- if someone else comes out with the portable MRI patient monitor?
Chris Lewis: Okay. That's helpful. And then Chris a question for you. In terms of the first quarter in 2017 guidance, can you walk us through your assumptions for gross margins and how we should expect those to trend throughout 2017?
Chris Scott: Sure, in the first quarter, I am modelling about 65%, 66% gross margin and that does grow throughout the year as we anticipate higher output from IV pumps but also bringing monitor online. So, for the full year, I anticipate about 70%, 72% gross margins, but for the full year numbers. So, we'll be growing from 65%, 66% in the first quarter up to that 70% to 72% range for the full year period.
Chris Lewis: Okay. And then just final question for me, cash balance continues to be strong and continues to build -- maybe Roger, can you just provide an update on where you are in terms of your priorities and in terms of cash deployment and potential for any M&A you're seeing or another buyback or other cash deployment initiative, thanks?
Roger Susi: Sure Chris, yes both have issues have been on the table in the past as you know and continue to be there. We have another thing that we're looking as potential M&A thing here could come up throughout the latter part of 2017, but it's quite premature to talk about that in any detail. So, that's why we're keeping some powder dry where we fully expect to be able to get some sort of a bolt-on deal put together here that can go and fit in with the profile of our developing sales force and directly contribute to sales in the MRI area. So, that's the aim for the cash.
Chris Lewis: And any commentary on potential buyback?
Roger Susi: Not at this point. We're sitting at this particular moment on that.
Chris Lewis: Okay. Thanks guys.
Operator: Our next question comes from Larry Haimovitch with HMTC.
Larry Haimovitch: Good morning, gentlemen.
Roger Susi: Good morning, Larry.
Larry Haimovitch: Lots of good questions have already been asked that I had in mind. I do want to explore a little more Chris's question with Brent about the fact that you got another major product line coming on. I know Brent you addressed the question, but it does concern me quite a bit that salesforce could easily be distracted when the new product comes on when you're still trying to get the old product to build even better momentum than you have. Could you just maybe say a few more words on that?
Brent Johnson: Sure Larry. Again, we're really cognizant of that here and as I discussed we've really made it much more advantageous commission-wise to the sales people to go out and sell the IV pump as opposed to selling the patient monitor and that to me in my years of history as a sales manager, that's the best way to motivate sales people to do what you want to do is to tie the compensation. And also, we've again made it very clear in all our discussions with the salespeople. So as best as we can, we're going to continue to monitor that. We're going to -- we're going to continue to monitor that and we're going to push forward. The other thing that we're going to do is we're going to as talk about continue to expand territory and continue to add people so that we have a better size to take on two products, which again I think will help as well.
Larry Haimovitch: What do you think you'll end the year at in terms of headcount and sales force?
Brent Johnson: Yes, well we're currently at 18 sales people. We've got as I said two area directors that manage the day-to-day for those folks. We expect to go to 20 to 22 by the end of the year.
Larry Haimovitch: Okay. And where were you say six months ago? Have you built up to 18 from where you were a few months ago?
Brent Johnson: Yes, we added, the four last expansions we added about six months ago.
Larry Haimovitch: Okay. So, the average tenure in the sales force as you said, it's a pretty young sales force isn’t it, pretty inexperienced?
Brent Johnson: Yes, it's an inexperienced tenure with iRadimed. We hire people that have exhibited a high amount of success and have a lot of experience in other industries and in other medical devices.
Larry Haimovitch: Okay. Chris, what do you think the cash flow will be for 2017 ballpark number?
Chris Lewis: I think we can get to $3 million to $4 million in cash flow from operations.
Larry Haimovitch: So, that would put you at about probably around $20 million exiting 2017?
Chris Lewis: Yes, excluding the investments yes.
Larry Haimovitch: And just wondering and the investments are that long-term securities or what is that exactly?
Chris Lewis: We term as short term and available for sale at any point in time.
Larry Haimovitch: So, 17 plus the eight plus three to four. Does that get you to the high 20s. It just strikes me as much more cash than you really need to run the business. I'm assuming you would agree with that this is plenty of cash.
Chris Lewis: Back to Roger's comment, I think we're looking and we need to leave more time to get out there and look and to the extent that we find something than you're likely to see some of the use of cash flows M&A. If our efforts there are not successful, then the Board, I am confident the Board will revisit some type of distribution or buyback or something of that nature. Some use of cash, so that you don't see us so heavy on the cash side of the balance sheet/
Larry Haimovitch: Roger, how big is your appetite? What do you think it would be comfortable in terms of an acquisition?
Roger Susi: We don't want to go into that, but if you're asking, would we spend as much as we have, I would have to say we would probably be able to go that far, yes.
Larry Haimovitch: Okay. What are some of the general areas you would feel comfortable moving into?
Roger Susi: Well, they would all impulse something that fits in with the products that we sell now meaning they would be MR devices of some sort. So probably and we wouldn't be going into the drug area or maybe contrast business or something like that. So, we're in the device space and we're in the MR. So, if it's a device and it works in the MR that's fits the test and we think that could bolt in and our sales force could relatively easily add that to their bag and call points somewhat equivalent all that plus, plus, plus and that's the sort of product we would be looking for.
Larry Haimovitch: Would you consider a distribution deal as opposed to an outright acquisition?
Roger Susi: Well, we've thought about it, but the margin in doing such things for -- the margins are not easy to make anything very interesting when you do that and so it's a trade-off. If it ends up costing you a lot of selling time, and the margins aren’t so great, well that doesn’t sound good. If it was very little impact to selling time, but we could get paid something, well yes, but we haven’t seen anything like that. We haven’t seen anything like that.
Larry Haimovitch: Okay guys. Thank you.
Operator: Our next question comes from Peter Rabover with Artko Capital
Peter Rabover: Hey guys. Can you hear me?
Roger Susi: Yes, hello Peter.
Peter Rabover: Hey so most of my questions have been answered, but I wanted to go back to an earlier one and maybe you guys can go into more detail about the return on investment for your products? What the salespeople, I know you talk about safety, but have you guys actually run an analysis that your salespeople present to the customers or anything like that?
Roger Susi: Well the sales bar is that Brent, I'll let Brent fill in on that, but the technique that we try to use is based upon finding the particular drivers within a hospital the particular situation and we help them analyze that and come up with value for the exact specific facility and that's the key. There's not a one sized sort of fits all. Having said that, we do have maybe a dozen of these typical situations that come up, but the details of them are all a bit different and of course the mission is to find those levers and make sure that the value that our product can bring in each facility is highlighted. And there are, again there are, again there are different parts of that as far as the ROI is concerned. So, I talked about one of them was diagnoses of patient so that you can quickly diagnose them, quickly cure them. Obviously, the ACA or what will become of the ACA is very focused on that. It's focused on outcomes and our product can really help with the outcome. Everything from outcomes to patient satisfaction because they're out quicker and they're not in the ICU as long to other factor and on the long lines when people are using long lines in the MR area and they're using a conventional pump, there is the cost of medication that's in the tubing. Once they're done with that case, they’ve got 30 feet of tubing with medication there and it takes all that away right. They don't reuse that. So, you've got medication cost. You've got infection cost, because when you're stringing together lines of IV tubing and running that on the floor of a [pie], there is a higher rate of infection risk and there is dollars tied to all those things. So, the ROI is there and when you talk about it, it is a soft ROI though as opposed to a hard ROI. It's not based on a reimbursement of $200 so that if you do five of these cases, you do $200 each, you'll make $1,000 a day, it will pay for itself in two months. We don't have that kind of an ROI. We don't have that kind of an analysis. But certainly, these factors do play in to the sale and in these [S] bars that Roger was alluding to and we do detail out some of those costs and some of those sales.
Peter Rabover: Okay. And is that the same for the monitor as well or do you think you have a harder ROI and monitor?
Roger Susi: No. Monitors are also a safety sale, but it's being an existing our case with budgets that are rolling through all the time. Well then it becomes a competitive argument there, saving money over one product over the other, just because they are in budget and this business rolls along, it's been rolling along for over 30 years. So again though, when you're looking for hard ROI when you're buying monitor, that doesn’t really exist, you just don't find those every day.
Peter Rabover: Great. Okay. And then I guess not to put you this far, but maybe I'll reverse the previous caller's question, does it make sense for you guys to be a public company? Would it be better if your company and the products were part of a larger sales force somewhere else?
Roger Susi: I would love to answer that one. The IV pump sales require as we talk about, requires a lot of intensive work and is a difficult sales process. I think if we took these products and we put it into a larger sales force, they would get lost and they would not have the focus that you have when you control the sales team of in this case 18 individuals. It's a smaller force, but they do our pioneering work, which is difficult work and we pay them well for when they do it well, but I could tell you that I don't believe that would be a good customer management.
Peter Rabover: Okay. Thank you. Thanks for the color. I appreciate it. That's all I have for now, thanks.
Operator: And I am not showing any further questions at this time. I would like to turn the conference back over to our hosts.
Roger Susi: Thank you all for participating in today's call. We look forward to reporting back to you again on the first quarter with result of that Q1. So again thanks.
Operator: Ladies and gentlemen, so that concludes today's presentation. You may now disconnect and have a wonderful day.